Operator: Good morning, ladies and gentlemen, and welcome to the CrossAmerica Partners First Quarter 2024 Earnings Conference Call. [Operator Instructions] This call is being recorded on Thursday, May 9 of 2024. I would now like to turn the conference over to Maura Topper, Chief Financial Officer. Please go ahead. 
Maura Topper: Thank you, operator. Good morning, and thank you for joining the CrossAmerica Partners First Quarter 2024 Earnings Call. With me today is Charles Nifong, CEO and President. We'll start off the call today with Charles providing some opening comments and an overview of CrossAmerica's operational performance for the quarter, and then I will discuss the financial results. We will then open up the call to questions.
 Today's call will follow presentation slides that are available as part of the webcast and are posted on the CrossAmerica website. Before we begin, I would like to remind everyone that today's call, including the question-and-answer session, may include forward-looking statements regarding expected revenue, future plans, future operational metrics and opportunities and expectations of the organization. There can be no assurance that management's expectations, beliefs and projections will be achieved or that actual results will not differ from expectations.
 Please see CrossAmerica's filings with the Securities and Exchange Commission, including annual reports on Form 10-K and quarterly reports on Form 10-Q for a discussion of important factors that could affect our actual results. Forward-looking statements represent the judgment of CrossAmerica's management as of today's date, and the organization disclaims any intent or obligation to update any forward-looking statements.
 During today's call, we may also provide certain performance measures that do not conform to U.S. generally accepted accounting principles or GAAP. We have provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of our earnings press release.
 Today's call is being webcast, and a recording of this conference call will be available on the CrossAmerica website for a period of 60 days.
 With that, I will now turn the call over to Charles. 
Charles Nifong: Thank you, Maura. Maura and I appreciate all of you joining us this morning as we review our first quarter results. During today's call, I will go through some of the operating highlights for the first quarter 2024. I will also provide commentary on the market and other updates similar to what I have done on our prior calls. Maura will then review in more detail our financial results.
 Now if you turn to Slide 4, I will briefly review some of our operating results. For the first quarter of 2024, our wholesale segment gross profit declined 14% to $27 million compared to $31.2 million in the first quarter of 2023. The decrease was driven by a decline in fuel margin, fuel volume and rental income. A significant factor in the overall decline was the conversion of certain lessee dealer sites to company-operated and commission agent sites, which are now accounted for in the retail segment.
 Our wholesale motor fuel gross profit decreased 13% to $14.6 million in the first quarter of 2024 from $16.7 million in the first quarter of 2023. Our fuel margin declined 5% from $0.083 per gallon in the first quarter of 2023 to $0.079 per gallon in the first quarter of 2024. The decrease in our wholesale fuel margin per gallon was primarily driven by the following factors: first, our average purchase price of motor fuel per gallon for the first quarter of 2024 was lower than our average purchase price of motor fuel per gallon for the first quarter of 2023, resulting in us receiving a lower dollar amount in terms discounts on certain gallons that we purchased during the quarter.
 Second, we experienced a gradual increase in crude oil prices throughout the first quarter of 2024. Historically, such a steady, gradual increase in prices during a period leads to lower wholesale fuel margins per gallon in a year-over-year comparison due to its impact on our fuel margin and our variable margin priced wholesale contracts. Also contributing to the margin per gallon decline was a reduction in variable price wholesale fuel volume due to our conversion of certain sites to our retail class of trade.
 We did benefit this quarter from a reduction in our fuel sourcing costs. However, the benefit of these cost reductions was more than offset by the preceding factors that I just detailed. Our wholesale volume was 184 million gallons for the first quarter of 2024 compared to 201.9 million gallons in the first quarter of 2023, reflecting a decline of 9%. The decline in volume when compared to the same period in 2023 was primarily due to the conversion of certain lessee dealer sites to our retail class of trade and lower same-site volume.
 The conversion of sites from wholesale to retail resulted in approximately 8 million gallons of volume shifting segments for the quarter, which was approximately 47% of the total volume decline for the wholesale segment. These gallons are now reflected in our retail segment results.
 For the quarter, our same-store volume in the Wholesale segment was down slightly less than 2% year-over-year. The remaining decline in volume is attributable to loss of independent dealer contracts, which, in many cases, we chose not to renew. Based on national demand data available to us, our same-store wholesale volume performance for the first quarter was better than overall national demand.
 In the period since the quarter end, same-store volume has been down around 3% year-over-year. Overall, it was a soft start to the year for volume demand in the industry. Our quarterly wholesale same-store volume results, while better on a relative basis than national data, are disappointing.
 Regarding our wholesale rent, our base rent for the quarter was $12.4 million compared to the prior year of $13.7 million, a decrease due to the conversion of certain lessee dealer sites to company-operated and commission agent sites.
 These rent dollars, while no longer in the form of rent, are now effectively in our retail segment results through higher margins at these locations. They are not lost dollars to the business but are simply reported now in another segment of our financial results.
 For the retail segment, considering the industry environment, our performance was good for the first quarter of 2024, primarily driven by our merchandise growth. The retail segment generated $54.4 million in gross profit compared to $50.9 million for the same period in 2023, a 7% increase.
 Our merchandise gross profit increased 18% and our merchandise gross profit margin percentage was up approximately 30 basis points when compared to the same period in 2023. Our motor fuel gross profit declined 3%. On the fuel margin front, our retail fuel margin on a cents per gallon basis decreased 3% year-over-year as our fuel margin was $0.308 per gallon in the first quarter of 2024 compared to $0.318 per gallon in the first quarter of 2023. Retail fuel margins were pressured this quarter by the generally steady rising price of crude oil during the quarter, which in turn, pushed our fuel costs higher and adversely impacted retail street fuel pricing volatility.
 For volume on a same-store basis, our retail volume declined 3% for the quarter year-over-year. On a relative basis to national demand data, our same-store retail volume outperformed. However, on an absolute basis, it is a disappointing result and reflects the overall soft demand that we and the industry have experienced to start the year. In the period since the quarter end, retail same-store volume has remained down at approximately 3% year-over-year, and retail fuel margins have continued to be roughly in line with our first quarter results.
 For inside sales on a same-site basis, our inside sales were up slightly relative to last year for the first quarter. Inside sales, excluding cigarettes, were up approximately 2% year-over-year on a same-store basis for the quarter. The sales performance was primarily driven by the categories of packaged beverages and deli.
 On the store merchandise margin front, our merchandise gross profit increased 18% to $21.4 million, driven by our increased sales from the higher store count and improvement in our store merchandise gross margin percentage.
 The store merchandise margin improvement was due to our continued efforts and focus on our margins. In the period since the quarter end, same-store sales have been flat to slightly down from the prior year, reflecting the ongoing soft demand environment. In our retail segment, if you look at our company-operated site count, we are up 75 company-operated retail sites from the prior year and up 47 sites relative to last quarter, the fourth quarter of 2023. The increase in company operating site count relative to the fourth quarter was primarily driven by our conversion of the Applegreen lease locations to company-operated retail sites.
 As we previously announced and also noted in our press release, we signed an agreement in January to terminate the lease and company operate 59 sites that we previously leased to Applegreen. Of these 59 locations, 31 locations were converted during the first quarter of 2024 and the remaining 28 locations converted in April 2024. So that as of today, all the locations are across America company-operated retail locations. We are pleased to welcome all the team members at these locations to the CrossAmerica team and thank everyone involved for their hard work in successfully executing this transaction.
 We expect this transaction to be immediately accretive to our retail segment and overall results. Our commission agent site count increased by 9 sites relative to the first quarter of 2023. In total, we have increased our overall retail site count by 85 sites as of today's date relative to the end of the fourth quarter. Based on those numbers, you can see that we were extremely active during the quarter with site conversions in executing on our strategy to increase our exposure to retail fuel margins and the retail business overall.
 During the quarter, we did not divest any properties. Subsequent to the quarter end, we have divested 2 properties for $2.5 million in proceeds. While the number of closed transactions is low year-to-date, we have been busy building our pipeline of divestitures and expect the pace and volume of transactions to increase materially for the remainder of the year.
 Overall, it was a challenging start to the year as our first quarter results reflect. The first quarter of the year is typically our weakest quarter of the year and this first quarter was a weak first quarter compared to prior first quarters.
 While our volume numbers compare favorably to national volume data, on an absolute basis, volume was below what we expect to achieve. In our retail sites, our store sales, while again better on a relative basis compared to nationally available data were also below our expectations.
 Despite the soft financial results for the quarter, there were still positive developments in our business. One of the most significant was our conversion of the Applegreen sites to company-operated retail locations. We were also able to convert 20 other locations this quarter to our retail class of trade, either as company-operated sites or as commissioned retail locations.
 These conversions should generate better fuel volume and increased profitability at these sites going forward. Maura will touch on in her comments on some successes with expense management that we had during the quarter as well. So progress was made during the quarter, even if not evident in our financial results. And the best thing about the first quarter is that it leads into the spring and summer, our peak months of the year.
 With that, I will turn it over to Maura for a more detailed financial review. 
Maura Topper: Thank you, Charles. If you would please turn to Slide 6, I would like to review our first quarter results for the partnership. We reported a net loss of $17.5 million for the first quarter of 2024 compared to a net loss of $1 million in the first quarter of 2023. This loss was primarily driven by a $15.9 million loss on the lease termination with Applegreen and a decline in our year-over-year adjusted EBITDA.
 Regarding the lease termination charge for the Applegreen transaction, GAAP requires us to record substantially all of the price paid to Applegreen for the transaction, excluding amounts for inventory and equipment as an income statement expense as opposed to a balance sheet purchase, which drove the lease termination expense in the quarter. Adjusted EBITDA was $23.6 million for the first quarter of 2024, a decline of $8.2 million from adjusted EBITDA of $31.7 million for the first quarter of 2023. Our distributable cash flow for the first quarter of 2024 was $11.7 million compared to $19.1 million for the first quarter of 2023.
 The declines in adjusted EBITDA and distributable cash flow were primarily due to operating income decreases in both our wholesale and retail segments, driven by the challenging fuel margin environment during the quarter and the additional operating expenses incurred primarily as a result of our higher company-operated store count.
 Our distribution coverage for the current quarter was 0.59x compared to 0.96x for the first quarter of 2023. Our distribution coverage for the trailing 12 months ended March 31, 2024, was 1.37x compared to 1.7x for the same period ended March 31, 2023.
 The first quarter historically is our most challenging of the year with 9 out of the 12 first quarters in the partnership's history having a distribution coverage ratio below 1x. That being said, our coverage for the current quarter is lower than we would like. Our trailing 12-month coverage ratio remains well above 1x, at 1.37x. And historically, we do see material improvement in our coverage ratio as we move into the summer driving season.
 During the first quarter of 2024, the partnership paid a distribution of $0.525 per unit. Charles discussed some of the primary drivers of our top line and gross profit performance for the quarter earlier. Turning to the expense portion of our operations. Operating expenses for the first quarter increased $6.4 million compared to the 2023 first quarter. We had an approximately 7% decrease in operating expenses in our wholesale segment as we have converted locations to company-operated and commission locations in the retail segment.
 This was offset by a $7 million or 20% increase in operating expenses in our retail segment. This increase was primarily due to the increased site count in that retail segment compared to the prior year due to the site conversions Charles referenced in his comments. During the quarter, we had approximately 22% more company operated locations in our retail segment than last year. Company-operated locations are our highest per site expense class of trade. And so that site count increase drove the majority of the year-over-year increase in operating expenses.
 Additionally, we have selectively added overhead personnel costs in our retail segment to ensure that we can effectively operate and merchandise our newest company-operated locations. Given that following the completion of the Applegreen site transitions in April, we now have added 100 company-operated sites to the portfolio from other classes of trade over the past year.
 On a same-store basis, operating expenses for our company-operated locations were up approximately 1% year-over-year. Our team drove a strong focus on ensuring our company-operated locations were staffed efficiently and operating at the right hours, which resulted in approximately 4% decrease in same-store labor hours year-over-year for the quarter.
 This strong performance in controlling our store labor hour costs, our largest expense across the organization, coupled with improved performance in shrink and inventory management allowed us to materially offset cost increases in repairs and maintenance, including environmental maintenance. Our G&A expenses increased $1.1 million for the quarter year-over-year, primarily due to higher legal fees and acquisition-related costs incurred for the Applegreen transaction.
 Moving to the next slide. We spent a total of $6.1 million on capital expenditures during the first quarter, with $4.5 million of that total being growth-related capital expenditures. During this past quarter, growth-related capital spending included investments in the forecourt and backward of our newly converted company-operated locations as well as certain targeted dispenser investments, which are often accompanied with incentives from our fuel suppliers.
 As of March 31, 2024, our total credit facility balance was $798.3 million, which was a $42 million increase from our 2023 year-end balance. The most significant driver of that increase was the approximately $20 million paid to Applegreen during the first quarter inclusive of payments for inventory at converted locations. Additionally, the first quarter is typically a working capital usage quarter for the partnership and was so again this year.
 As Charles noted, it was also a later asset sale quarter for us. So our capital spending and adjusted EBITDA results for the quarter also contributed to the increase on our revolver balance. Our credit facility defined leverage ratio was 4.49x as of March 31, 2024. As we move into the summer months and continue to focus on execution at our sites, we will remain focused on our cash flow generation and managing our leverage ratio at approximately 4x on a credit facility-defined basis.
 Our cash interest expense was relatively flat over year with our higher credit facility balance being offset by the positive rate savings we experienced from the interest rate swaps we entered into during the second and fourth quarters of last year. Our effective interest rate on the capital credit facility during the first quarter was approximately 5.1%, which is very attractive given today's interest rate environment.
 Although we did have a series of beneficial interest rate swaps from early 2020 that expired at the end of the first quarter, we enter the remainder of 2024 with approximately 50% of our current credit facility balance swapped to a fixed rate of approximately 3.4% blended. We do anticipate our interest expense increasing during the remainder of the year given the roll-off of the swaps from 2020, but our existing interest rate swap portfolio is meaningfully valuable in providing us certainty and savings in today's rate environment.
 In conclusion, as Charles noted, the partnership had a challenging first quarter of 2024. We remain focused as a team on executing in our base business as well as for the sites that have transitioned between segments over the past year to optimize their performance moving forward. We continue to focus on generating durable and consistent cash flows with a focus on maintaining a strong balance sheet and driving value for our unitholders.
 With that, we will open it up for questions. 
Operator: [Operator Instructions] 
Charles Nifong: It doesn't appear that we have any questions this morning. Should you have any questions later, please reach out to us, and we'll be happy to address them. We thank everyone for joining us this morning. Have a good day. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation, and you may now disconnect.